Operator: Good morning. My name is Lisa and I will be your conference operator today. At this time, I would like to welcome everyone to The Hartford's Fourth Quarter 2016 Earnings Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. [Operator Instructions] Thank you. Sabra Purtill, Head of Investor Relations, you may begin your conference.
Sabra Purtill: Good morning and welcome to The Hartford's webcast for fourth quarter 2016 financial results. The news release, investor financial supplement and slides for this quarter were all posted on our website yesterday. Please note that we will file our 10-K on February 24. Our speakers today include Chris Swift, Chairman and CEO of The Hartford; Doug Elliot, President; and Beth Bombara, CFO. Following their prepared remarks, we will have about 30 minutes for Q&A. Just a few comments before Chris begins. Today's call includes forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. These statements are not guarantees of future performance and actual results could be materially different. We do not assume any obligation to update information or forward-looking statements provided on this call. Investors should consider the risks and uncertainties that could cause actual results to differ from these statements. A detailed description of those risks and uncertainties can be found in our SEC filings, which are available on our website. Our presentation today also includes non-GAAP financial measures. Explanations and reconciliations of these measures to the comparable GAAP measure are included in our SEC filings as well as in the news release and financial supplement. Finally, please note that no portion of this conference call may be reproduced or rebroadcasted in any form without the Hartford's prior written consent. Replays of this webcast and an official transcript will be available on the Hartford's website for at least one year. I will now turn the call over to Chris.
Chris Swift: Thanks Sabra, good morning everyone and thank you for joining us today. Hartford delivered strong results in commercial lines and group benefits despite sustain competition this quarter, while personal auto performance remains under pressure from loss cost trends. Doug will cover P&C and Group benefit results in a few minutes. And I wanted to highlight notable 2016 accomplishments that demonstrate the Hartford’s underwriting discipline, effective execution and fundamental strengths of our platform. Commercial Lines delivered an exceptionally strong underlying combined ratio of 89.4 for the full year. The performance reflects the Hartford’s best-in-class operating capabilities, strong market positions and disciplined underwriting. During the year, we also made progress on our strategy to broaden our risk appetite including entry into the E&S space with the acquisition of Maxum, expanded multinational capabilities through our partnership with AXA and the launch of a dedicated energy practice. Group Benefits delivered very good results for the full year, with the core earnings margin of 5.7%. We generated profitable growth in this segment reflecting strong sales, persistency and an improved loss ratio. We continue to execute on our Group Benefits growth strategy, enhancing the products suite with the addition of dental and vision for the small case market in new voluntary offerings. At Talcott, we continue to effectively and efficiently manage the runoff of the annuity blocks. Over the past two year, Talcott has returned $1.75 billion of capital to the holding company and we expect an additional $600 million in 2017. During 2016, we also addressed our legacy P&C exposures, which over the past few years has generated substantial adverse development. In July, we agreed to sell the runoff UK subsidiaries to Catalina, which we expect to close in the next few months. And at year-end, we reinsured the remaining legacy U.S. A&E liabilities to National Indemnity. While these actions resulted in modest book value dilution, we believe that the economic trade-off was well worth the near-term costs. Turning to Personal Lines, we are encouraged about moderating frequency, but remained concerned about bodily injury liabilities severity trends. As a consequence, we have strengthened prior year reserves and current accident year loss picks. In setting year-end calls for accident years 2015 and 2016, we placed higher weight on the most recently emerged bodily injury severity experience. We are intently focused on improving the profitability of this business. During the year we accelerated pricing, distribution and underwriting initiatives, resulting in a sharp drop in new business. Doug will provide you with more background on these actions and the progress we have achieved over this past year and I am confident that we will deliver improved results in 2017. Finally, before turning the call over to Doug, I’d like to briefly cover our 2017 goals and expectations; Given the significant progress that Hartford has made over the past several years, I am confident in our ability to continue to perform well in an environment that we expect to remain challenging in 2017. We expect competition to remain robust for the coming year, with new entrance aggressively seeking in roads into our markets and peers fighting hard to retain their business. Technological, innovation and its potential effect on business models is also adding to the competitive intensity. In addition to these trends, 2017 presents higher regulatory, fiscal and macro-economic uncertainty. We are closely monitoring developments on capital health, including corporate tax reform, infrastructure spending in the possible repel or replacement of ACA and other changes in regulations all of which could impact us. With that backdrop, our strategy and focus in 2017 remain consistent. Hartford will prioritize long-term growth initiatives by investing in products, distribution, data and analytics and digital capabilities to provide more value to our agents and customers. These investments are aimed at providing us with critical insights and creating seamless interaction for customers across each of our businesses. Specifically, in 2017 we intent to maintain strong margins in Commercial Lines and Group Benefits and to approve auto profitability. Our goal is to grow core earnings and book value per share, supported by continued capital management, including $1.3 billion of share repurchases and efficient debt management. We will continue to relentlessly scrutinize our expense structure, recognizing the importance of operating efficiency to competitive strength. In closing, I am proud of what the Hartford accomplished in 2016. We delivered strong financial results excluding auto, we returned $1.7 billion of equity to shareholders through repurchases in common dividends and continue to reduce debt outstanding and we significantly improved our operating capabilities and expanded our risk appetite. As we enter 2017, I am confident we are taking the right steps in our competitive markets as we continue to invest for long-term growth and shareholder value creation. Now, I’ll turn the call over to Doug.
Doug Elliot: Thank you, Chris and good morning, everyone. We had an excellent 2016 in Commercial Lines and Group Benefits, particularly in light of the growing competitive dynamics we’ve seen in these markets. Before I share details on our commercial businesses, let me get right into Personal Lines, where I only can describe 2016 auto loss trends as challenging and our financial performance as disappointing. For the fourth quarter, we posted a Personal Lines core loss of $17 million, cat losses for the quarter were $28 million, $7 million higher than in 2015. The underlying combined ratio which excludes catastrophes and prior year development was 101.8, deteriorating 8.3 points from last year. This is primarily due to higher auto loss costs, partially offset by lower expenses. In homeowners the underlying combined ratio for the fourth quarter of 74.7, deteriorated 2.3 points versus last year. The fourth quarter of 2015 experienced very favorable results compared to our longer term average. Overall our homeowners performance remains very solid and we continue to effectively manage rate needs and underwriting execution. In Personal Lines auto, we continue to see higher than expected overall loss cost trends. On the positive side, our current estimate of the change in frequency for the second and third quarters of 2016 has moderated versus our estimates 90 days ago. The change in bodily injury severity on the other hand has increased and continues to be an area of intense focus affecting both current and prior accident years. We recorded $20 million of prior year development in auto liability, primarily related to accident year 2015. We also increased the accident year 2016 loss ratio by approximately 2.5 points. Throughout the year we have been executing on substantial rate underwriting, agency management and new business actions. We have provided a new exhibit in our slide package that depicts our progress within segments of our auto book. We are measuring and managing our actions by state and customer cohort very closely. Let me provide commentary on three examples of the actions we’re taking. First, written pricing in the fourth quarter was 9%, increasing 3 points from prior year and 2 points sequentially. I expect this number to increase an additional 1 to 2 points over the next few quarters. The earned premium impact of this rate is ultimately based on the customers we renew, but the combination of rate increases and mix change in the book of business will drive auto margin improvement in 2017 and 2018. Second, we reduced our new business marketing efforts in many jurisdictions until more adequate rates are in effect. Auto new business for the fourth quarter was down 58% with other agency off 64%. We are confident that we can return to new business growth once adequate rate levels are in placed to deliver our target returns. And third, lower new lower new business also results in reduced market expense and lower operational costs, which contributed to a 3.5 point improvement in the expense ratio for the fourth quarter. These actions and others will have a favorable effect on our loss ratio as higher average premium per policy and improved book of business mix are reflected in our earned premium. In commercial lines, we delivered $277 million of core earnings for the fourth quarter, on a combined ratio of 91.3, 3.2 points higher than 2015. Catastrophe losses for the quarter were $20 million higher than in ‘15, driven mainly by Hurricane Matthew and hail events in the Southwest. The fourth quarter also included 1.2 points of unfavorable prior year development versus 1 point of favorable development in the fourth quarter of 2015. The unfavorable prior year development was related to commercial auto and package business partially offset by prior year development and workers compensation being favorable. Commercial auto continues to be under pressure in our book of business and across the industry. We recorded $38 million pre-tax of prior year development to address severity trends, primarily in Small Commercial related to accident year 2015. We continue to achieve high single-digit written price increases in this line and have taken aggressive underwriting actions including enhanced referral criteria, resulting in lower retention and lower new business. We also recorded $15 million pre-tax of prior year development in the package business to address general liability severity trends and Small Commercial. The underlying combined ratio for Commercial Lines was 88.2 for the fourth quarter flat compared to 2015. This reflects improve current exiting year results in workers compensation, offset by weaker results in commercial auto. Renewal written pricing in Standard Commercial Lines was 2% for both the full year and the fourth quarter holding steady throughout the year. I'm very pleased with this outcome, which reflects the underwriting rigor and discipline of our team in our competitive marketplace. Written premium of $1.7 billion for the quarter was up 3% from 2015, driven primarily by growth in Small Commercial including the acquisition of Maxum. Let me provide some detail of each of our commercial business units. Small Commercial had a solid fourth quarter to cap off an outstanding year. The underlying combined ratio for the quarter was 86 up 0.9 point from 2015. Written premium for the fourth quarter grew by 7% driven by strong retentions and a $145 million of new business including Maxum. In middle market we demonstrated strong underwriting and pricing discipline delivering an underlying combined ratio of 88.9 for the fourth quarter improving 0.1 point from 2015. Written premium increased 1% based on solid retentions and new business production of a $133 million up 17% versus prior year. We are encouraged by these results, which we attribute to growing momentum on a number of strategic initiatives including our recently launched energy practice and our expanded multinational capability. We’ve received very positive feedback from our agents and customers that we’re delivering a well-integrated and comprehensive solution for their international needs. As a result we’re finding opportunities to win new accounts based in the U.S. with international exposures that we might not have quoted in years prior. In Specialty Commercial the underlying combined ratio 94.8 for the fourth quarter improved from 98.1 in 2015. This was driven by strong performance in national accounts workers compensation, bond and financial products. Now let me turn to Group benefits. Core earnings for the fourth quarter increased to $59 million up from $40 million in 2015 with a core earnings margin of 6.5%. The Group disability loss ratio for the quarter deteriorated by 1.1 points compared to prior year due to higher severity, partially offset by pricing, as well as favorable incidence and recovery trends. The volatility we experienced in prior quarters in group life abated this quarter. The group life loss ratio improved 5.4 points versus 2015, largely due to favorable changes in reserve estimates. Looking at the top-line fourth quarter fully insured ongoing premium increased 2%, overall book persistency on our employer group block of business held in the high 80s for the year and fully insured ongoing sales were $43 million. Looking back on ‘16 we’re pleased with the performance of our Commercial Lines and group benefit businesses. Particularly as we navigate these competitive markets. In personalized we’re addressing our challenges with clear actions and our commitment to sustainable financial progress in 2017. Before I turn over to Beth let me offer a few comments on 2017. We expect that the market will be as competitive or more than the market we say in 2017. We remain committed to underwriting discipline and delivering strong margins only seeking growth when it meets our profit targets. In Commercial Lines we’re focused on leveraging our expertise and tools to aggressively compete at the front line. We’ll continue to improve our capabilities to better meet the changing demands of both customers and distributors who are seeking new product capabilities, increased access to our expertise and greater convenience in their service transactions. Due to the competitive markets in the marketplace, we expect that for lines of business with strong returns long-term loss cost trends will continue to outpace written pricing increases. As a result we expect an overall 2017 Commercial Lines combined ratio between 92.5 and 94.5 including 2.3 points of catastrophes. At the midpoint this is slightly higher than our results in 2016 yet still performing at attractive return levels. We will remain vigilant in addressing long-term loss cost trends, as well as taking immediate actions in areas that are under pressure. In first lines we will continue our disciplined actions to restore profitability in auto by continuing to execute on our pricing, underwriting and agency management actions. We’re investing in capabilities to better harness data and thereby refine our underwriting and pricing analytics. We remain deeply committed to our long-term partnership with ARP with initiatives to deliver greater customer value and achieve higher levels of customer satisfaction. We expect to achieve a Personal Lines combined ratio of 99 to 101 including 5.8 points of catastrophes. This implies in the auto combined ratio of 101 to 103 with approximately 1 point of catastrophes. Although clearly not a very target performance levels, this presents substantial progress towards that goal. In group benefits we're looking to drive growth in our core employer group offerings, as well as our voluntary product suite. January 2017 renewal retention is tracking consistent with prior year and January sales include a number of solid wins, but will be down from a year ago. We will add hospital indemnity in April of this year to our current voluntary lineup of disability flex, critical illness and accident. We expect group benefits performance to be relatively consistent with 2016, excluding a guarantee fund assessment for Penn Treaty. Our current estimate of this assessment is approximately $13 million after tax. For property and casualty and group benefits overall, we will continue to compete in an aggressive and disciplined manner in 2017. Competition from not only traditional names, but newer entrance as well continues to intensify versus a year ago. Our core priorities remain unchanged, profitable product and underwriting expansion, deep partnerships with our distributors and outstanding value to our customers. In summary, 2016 was a very strong year in so many respects yet very challenging in others. As always there is work in front of us for 2017 and we're fully committed to the journey ahead. Let me now turn the call over to Beth.
Beth Bombara: Thank you, Doug. I'm going to cover the other segments our investment performance and update you on our capital management plans. Mutual Funds core earnings totaled $17 million this year down from $20 million in the fourth quarter of 2015, principally due to transaction expenses for the acquisition of Lattice and the adoption of Schroders U.S. mutual funds. Asset management fees rose about 3% from the prior year due to higher average daily AUM. Although the growth in fees continues to be impacted in part by the shift to lower fee mutual funds. Total AUM increased 6% including the impact of both market appreciation and almost $3 billion from the Schroders funds. Talcott continues to perform well, core earnings were $111 million, up strongly from $83 million in the fourth quarter of 2015 due to higher returns on limited partnerships and a $14 million tax benefit from a prior year federal tax audit. Aside from these items Talcott’s core earnings declined due to lower variable annuity fee income driven by the run-off of the book. During 2016 VA contract count decreased by 10%, which we expect will drive a similar rate of increase in Talcott’s 2017 core earnings excluding the favorable items in 2016. In the slides posted to our website last night we also provided our annual update of Talcott statutory capital allocation by product. The capital allocation has not changed materially since last year, consistent with prior year's significant portion of Talcott capital supports our institutional and individual fixed annuity blocks. At year-end statutory surplus totaled $4.4 billion and the capital allocation shows expected 2017 dividends of $600 million, $300 million of which we received in January. We also provided an update on capital margins in base stress and favorable scenarios. Our analysis of Talcott’s capital adequacy remains focused on the stress scenario not based on current capital or market conditions. Our goal is to maintain at least 200% company action level risk based capital in the stress scenario and also considers liquidity, intangible assets and other factors. The assumptions used for these scenarios, which we also provided are generally consisted with prior years. The stress scenario has a 40% drop in equity markets from current levels are roughly 1350 on the S&P 500, lower interest rates and significant credit losses. As summarized in the slide, in the stress scenario we estimate the capital margin to be about $1.4 billion at year-end 2018, compared with $2.9 billion in the base case. Both scenarios include $600 million of dividends in 2017. Consistent with prior year, the primary impacts in the stress scenario come from interest rates and credit losses, primarily in the individual fixed and institutional annuity blocks and decreased fee income on the VA block. This amount of capital margin demonstrates that Talcott is adequately capitalized for adverse capital market environments. Turning to investments, all-in results were strong this quarter and included high returns on real-estate and private equity LPs. Total LP investment income was $73 million before tax compare to $12 million in the fourth quarter of 2015 for an annualized return of 12% this quarter and 8.5% for full year 2016. Excluding LPs the total before tax annualized portfolio yield was 4.2% this quarter, slightly better than 4.1% last year largely due to non-routine investment income such as prepayment penalties on mortgage loans and make whole payments on fixed maturities. These items are episodic and were especially high this quarter totaling $32 million before tax, about 2.5 times higher than the fourth quarter of last year. Excluding LPs and non-routines the annualized portfolio yield was essentially flat. For the P&C portfolio the annualized yield excluding LPs was 3.9% up from 3.7% in fourth quarter of 2015, but relatively flat adjusted for the non-routine items. Full year P&C net investment income was about $1.2 billion including $101 million for LPs. Looking at 2017, based on current interest rates we expect the P&C net investment income excluding limited partnership to decline about 7% to $1 billion before tax for two principle reasons. The first driver of lower P&C investment income is that we expect a slightly lower P&C portfolio yield excluding LPs. The full year portfolio yield was 3.8%, the 2016 reinvestment yield were about 60 basis points lower than sales and maturities, resulting in a sequential decline in the portfolio yield during 2016. Although higher reinvestment rates could offset some of this pressure credit spreads have also tightened and we would expect a lower level of non-routine items in a higher rate environment. To give you an idea of sensitivity to higher interest rate, we estimate that if 2017 reinvestment rates were 50 basis points higher across the curve, 2017 full year P&C net investment income would increase by about $20 million before tax. The second factor driving P&C net investment income lower in 2017 is that P&C investment portfolio will decreased by about $1 billion or 3% early in the year due to the net impact of the $650 million we paid in January for the National Indemnity Cover and the pending sale of the UK P&C runoff subsidiaries. Turning to credit performance, our experience remains very good with total impairments in mortgage loan valuation reserve charges of $12 million before tax down from $42 million in the fourth quarter of 2015, which included losses on some energy, mineral and mining related exposures. To conclude on earnings, fourth quarter core earnings per diluted share were $1.08 essentially flat with $1.07 in fourth quarter 2015 as the impact of our share repurchase program offset the 7% decrease in core earnings. For the full year core earnings ROE was down due to Personal Lines results and the second quarter charge for adverse development for A&E. 2016 core earnings ROE excluding Talcott was 8.9% and the P&C core earnings ROE was 9.9%. Excluding the A&E charge the 12 month core earnings ROE excluding Talcott was 10.3% and P&C was 12%. Turning to shareholders equity, book value per diluted share excluding AOCI at December 31, 2016 was up 3% compared to a year ago. Before turning to your questions, I wanted to provide an update on our capital management plans. During the quarter, we’ve repurchased $280 million of stock, which completed the $4.375 billion equity repurchase plan that expired on December 31st. In January of this year, we repurchased about 2.3 million of shares for $110 million, which leaves approximately $1.2 billion available under the 2017 equity repurchase authorization. With respect to debt management plans, in October we repaid $275 million of maturing debt. As we previously announced, we will repay $416 million of senior notes at maturity in March, which is our only debt maturity in 2017. In addition to these two actions, we also intend to call our 8.125, 500 million of junior subordinated bond, when it becomes redeemable at par in June of 2018. To fund this call this month we will exercise our put option on the Glen Meadow contingent capital facility, which will result in the issuance of $500 million of junior subordinated debt. This debt will have a floating rate coupon of three months LIBOR, plus 212.5 basis points or about 3 and 1.8% at current rates. The impact of these actions are debt-to-total capital ratios will be modest as the Glen Meadow issuance will be largely offset by the senior note maturity in the first quarter and our 2018 ratio will decrease from the repayment of the junior subordinated bonds. In addition the coverage ratios will improve in ‘17 and ‘18 due to lower interest expense resulting from debt repayment. To conclude, fourth quarter results were very strong for Commercial Lines and group benefits and the performance of our investment portfolio and other businesses was very good. In 2017 we are focused on achieving core earnings per share growth, driven by better Personal Lines results, continued strong margins and investment performance in our other businesses and the impact of our capital management plans. In addition, the new reinsurance agreement covering U.S. A&E exposures should eliminate the economic impact of any adverse development. I will now turn the call to Sabra, so we can begin the Q&A session.
Sabra Purtill: Thank you, Beth. Elisa, I’ll ask you to give the instructions for Q&A in just a second, but for in the meantime I just wanted to note that for those of you who are interested in catching up with us in person, Beth will be attending the Credit Suisse Conference in Miami on Tuesday next week and Chris will be in Boston at a lunch hosted by Deutsche Bank on Wednesday February 8th. In addition Chris, Doug and Beth will be at the Bank of America Merrill Lynch conference in New York on February 15th, holding a fireside chat as well as some small group meetings. And then finally, I would note that Doug will be on the Commercial Lines panel at [indiscernible] in early March this year. We hope to see all of you, at one or more of those events. Elisa, could you give the directions again.
Operator: [Operator Instructions] Our first question comes from the line of Ryan Tunis from Credit Suisse. Your line is open.
Ryan Tunis: Hey thanks, good morning. I had one question and then John Nadel had a follow-up. But I guess just looking at the guidance in P&C commercial, I guess this year on an underlying basis, combined ratio is 89 for -- and the midpoint of the guide you are giving implies a decent amount of deterioration after that and I realize that this year you had some favorable items with property, workers comp, but it also seems like rate worked against you, you’ve also talked about commercial auto. So it seems like there is some headwinds as well. So just trying to square, the type of scenarios that will potentially get you up towards that midpoint or above that, because I guess that just seems like a decent amount of volatility off of this year’s results? Thanks.
Chris Swift: Ryan it’s Chris. Thanks. I’ll ask Doug to add his color too, but I would just ask you to consider just macro trends in general. The pricing environment has been soft and our views are its going to continue to soften into ‘17. So rates are coming down, pricing is not you know keeping up in aggregate what we believe are long-term loss cost trends. Capital is abundant in the industry and there is many competitors both in the traditional markets and those that are coming from offshore to compete in our market. So you put it all together and that’s our view of the environment. We’re going to work our tail off to maintain those margins, but at this point and knowing our customer embrace so well we want to retain as much as our business as we can and if there is some give that we need to give on price to retain that we’ll consider that. So we want to retain our best customers and we know that the price environment is very dynamic. So Doug what would you add from a color perspective?
Doug Elliot: Sure, Ryan the first thing I would say is that very pleased about 2016, pleased about the trends that we’ve been to work on with our claim department and our pricing actions, very pleased about middle market as I lean into 2017 don’t expect all those trends to continue. So as I think about what’s in front of us with workers compensation we’re still thinking that our medical trends long-term are in the 6% range and indemnity 3% to 4%. As I look at that line which matters a great deal for our company because we’re slightly overweight in comp with our expertise, it’s a line right now that is feeling some degree of pressure on the pricing side in the marketplace. So that is one of the things I think about, clearly we’re at work on commercial auto and expect progress there and expect to improve results, but we’re feeling a little bit of pressure on the general liability area across the book. And so as we planned into 2017 we try to be prudent with our loss assumptions, fair and thoughtful about what we’re doing with the pricing. I just feel a bit of pressure that yes we were able to withstand in 2016 and hope to do that again. We’d love to repeat that performance in ‘17 I know that’s our goal, but also want to be reasonable in our expectation.
John Nadel: So this is John, Chris there is increasing chatter about a potential sale of Talcott over the -- that chatter has been increasing over the past several months. I wouldn’t ask you to comment on that, but I am interested in what your preference is for use of proceeds if you assume the transaction were to occur, should we expect you to focus on trying to replace those lost earnings contribution via acquisitions or should we expect that you’ll continue to focus more on returning freed up capital to shareholders via incremental buybacks and debt management?
Chris Swift: Thanks for not asking about Talcott directly. I think the point in time where we’re at right now John is we’ve done a lot particularly you saw with the legacy P&C liabilities this year, so Talcott contributes as it does today. We talk about managing the risk effectively and returning capital and we’re personally comfortable doing that, but hypothetically how we think about any capital that would be freed up. First we would focus on right sizing debt-to-equity ratios. And then we would think in terms of how do we replace those earnings via growth strategies both those that we can control from an organic side and then acquisition side, so that would be a high priority. I think we’ve been talking about that for at least the last 9 to 12 months as far as the priority of our capital. So yes I would prioritize growth in earnings over just share buybacks at that point.
John Nadel: Appreciate that. Thank you.
Operator: Our next question comes from the line of Jay Gelb from Barclays. Your line is open.
Jay Gelb: Thank you and good morning. I just wanted to level set for Talcott, I believe you said earnings will be down for Talcott 10% in 2017 adjusting for unusual items in 2016. So what’s the baseline you’re using for 2016?
Beth Bombara: Yes so if you look at our results over the last 12 months we have benefited from partnership return sort of an access of our plan and some of these one-time items. So if you adjust for that and take -- think about a 10% reduction in sort of run rate of Talcott. I think you’ll see that you’ll kind of get in that $300 million range for 2017.
Jay Gelb: That’s helpful, thanks Beth. And basically in line with what we were expecting. The other question I had a little more broadly on the return on equity profile. Based on all the puts and takes you're expecting for 2017 and you've already known about the pace of share buybacks $1.3 billion. Where do you think that roughly puts you for return on equity in 2017?
Chris Swift: Jay it's Chris well I appreciate the call or the question on the call here. So if I look at and we've trying to talk to our key ROE metric is ex- Talcott, I think everyone knows there is a number of trap capital in Talcott. So if I look at where we ended ‘16 at 8.9 on a trailing 12 month basis. I think if we perform to the plan that we outlined and the metrics that we gave you that could be up 200 basis points especially without A&E charge in '17.
Jay Gelb: That's great. Thank you.
Operator: Our next question comes from the line of Thomas Gallagher for Evercore ISI. Your line is open.
Thomas Gallagher: Good morning. Chris I will ask a direct question on Talcott, just from an M&A standpoint, can you comment on where you would see kind of bid-ask spreads right now. I think from I've heard from you guys before there were some challenges related to the VA part considering regulatory developments and some tax questions. But as you guys show majority of capital is not back into VA part it's backing to general account part. So I assume the environment has gotten a lot better from an M&A standpoint, but just curious what you’re thinking there?
Chris Swift: Appreciate the direct question. And look we're not going to speculate on what we may or may not do. I think Beth and I've been consistent in talking in terms of risk is managed well. We have been taking excess capital out and plan to as you saw in '17. And if there are counter parties out there we'll continue to work hard to find parties that are interested in buying two legal entities that have both variable and fixed annuities both deferred and payout in them. And you can't just point to one block of business and exclude the other because just give the legal entity nature. And we're at the point in our cycle right now where simple reinsurance transactions really don't accomplish our mission Tom. So you put all that together and I’ll let you conclude. Rising rates help, robust equity markets growth prospects for the future. So I'm actually bullish on our economic outlook in general which I think bodes well for these types of liability structures going forward.
Thomas Gallagher: Okay, appreciate that. And then just a question on the NICO deal, the $650 million of premium. I just want to understand would that -- did you transfer long-term bonds or was that cash. And can you comment roughly what the lost yield would have been for you on that transaction?
Beth Bombara: Yes so currently we transferred cash, but obviously when you think about taking $650 million of cash out of the system that comes with thinking about liquidating other assets. So we provided I believe in our press release when we announced the transaction that we'd expect some decrease in that investment income coming from there to be modest. And that's all contemplated in the guidance that we've given relative to P&C net investment income for next year.
Thomas Gallagher: But Beth I guess my question was, I assume there was a long duration portfolio backing that line. And would those associated bonds the ones that were sold. So was there a disproportionate loss of yield or was it not that big of a yield?
Beth Bombara: Yes I wouldn't think about it at that way. Again to some extent yes there was -- there is assets backing that portfolio. But when we look to manage the portfolio on a P&C side it's a little bit probably more fungible than you probably think of on a life side. And so net-net we took all that into consideration and looking at what we're anticipating for the net investment income for P&C next year including some of the modest declines that we see in overall yield, but I wouldn’t point to that as a significant driver of a decrease in P&C yield.
Thomas Gallagher: Okay, thanks.
Operator: Our next question comes from the line of Brian Meredith from UBS. Your line is open.
Brian Meredith: Yes thanks a couple of questions here. First, Dough I just wanted to dive back into the Commercial Lines guidance a little bit here and the question I guess I have is how different is your kind of trend assumption that you’re thinking about for ‘17 today versus when you were going into ‘16 and providing guidance. So are you still kind of thinking long-term trend or if things kind of deteriorated are you seeing that deterioration happening, which makes you more concerned about what’s happening in ‘17 from a trend perspective?
Chris Swift: Fair question Brian, I would say in the comp area pretty consistent. Our view of go forward versus what we’re experiencing very consistent. Auto, the severity in our commercial auto book we’ve got higher expectations of lost trend in ‘17 than we did in ‘16, absolutely. And in GL, slightly higher as well. So nothing radically different, but we’re feeling a little bit pressure across the liability book. We’re on it, we’re pricing for it, but we also see the market and the competitive dynamics around us. I think we just wanted to pick a prudent path.
Brian Meredith: Got you appreciate that. And then my second question is looking at the benefits business I know that you all had some initiatives to develop products and stuff basically to kind of cater to the ACA believe it was supplemental products. Has your thoughts on that changed now that there could potentially be repealed that or changes to that and kind of where you’re thinking on that?
Chris Swift: Brian it’s Chris. Generally no, I mean those supplemental products as you said had some strict definitions around of it given ACA. So if ACA gets repealed a little bit you have to watch to see the impact on the supplementary market, but we would not be interested in getting into any I’ll call it mini medical plans or things along those lines. We think the nature of these products the more we market them, more we educate our customer base on them. We’ll fit the needs with or without major ACA refinement.
Brian Meredith: Great.
Doug Elliot: Brian the only thing I would add is that clearly last three years major focus on getting our voluntary suite up to par and where it needs to be. Secondly, and Chris I think has talked about this in the past we are leaning into A&H [ph] over the next year or so. We’ve had an A&H product out there, we looked at it. We think it needs some retooling we’re working on that now, and I think more to talk about as we move through 2017.
Brian Meredith: Thank you.
Operator: Our next question comes from the line of Meyer Shields from KBW. Your line is open.
Meyer Shields: Great thanks. If I can just jump up on Brian’s question, do your 2017 auto spend expectations are those in line with what you saw in the fourth quarter of 2016?
Chris Swift: They are Meyer.
Meyer Shields: Okay. So that means you’re not expecting further acceleration going forward?
Chris Swift: No but we are, similarly to first lines we do see this world in terms of the new norm. So we’re expecting some of the pressure that we’re feeling and have felt in 2016 to continue into ‘17 and we’re making those types of choice in our trend assumptions both on personal lines and also on commercial. The difference in personal lines is that as you know we’ve talked about a number of initiatives, we think we can bend the loss trend curve, based on the initiatives that we’ve enumerated and we’re working hard to do that, that’s how we’re going to make progress against that stated goal because we’ve got some work to do to get our auto loss ratio, auto combined ratios into those 96, 96.5 category.
Meyer Shields: Okay, that’s helpful. Two quick questions on the commercial side, one it looks like mall commercial pricing improved a little bit from the third quarter to the fourth quarter, I was hoping you could talk about that? And also maybe some more detail on the new entrance, I guess I'm a little more surprised that there are new entrance into the standard commercial lines rather than specialty.
Chris Swift: Yes we take them one-by-one. We’re clearly leaning into auto and our package liability business and you’re seeing that in the marketplace. So we are looking for more rate in Q4 and we’re looking for little bit more rate in Q1 of 2017. So there’s an escalation based on the pressures we’re feeling with loss trend. That’s driving what’s happening in small commercial. And relative to new entrance, fourth quarter was pretty much a normal quarter for us. So, yes there are new names they are coming at small from different directions. I don’t think there is anything different in our results that was impacted by any of those names and we’ll continue to respect and watch and think about our strategy going forward. But I feel very good about where our small commercial business is operating and pleased that we are leaning in relative to building new product and some of tools that we’re rolling out for customers in the coming quarters.
Meyer Shields: Okay, thank you very much.
Operator: Our next question comes from the line of Jay Cohen from Bank of America Merrill Lynch. Your line is open.
Jay Cohen: Thanks. Just have couple of questions for Doug. First on the commercial side specifically in the small and mid-fourth quarter accident year loss ratio is going to the best you saw all year that was a very good trend as the year progressed, the fourth quarter being very good. Was there anything helping for that low level of non-cat whether or were you adjusting kind of the full year loss ratios in the fourth quarter?
Doug Elliot: There isn’t anything that sticks out in my mind Jay, obviously when we get to year-end we want to make sure and do our best job in making sure the accident year full year is where it needs to be. In general fourth quarter weather is slightly better non-cat so there is a little bit of a positive bias on our property side both small and middle. And we experienced some of that in the fourth quarter, obviously December is the month that triggers where we have a good property quarter or not in fourth quarter. But there isn’t anything to speak about that I think I would raise that level.
Jay Cohen: Okay, great. Second question, on the auto side, I guess it could be argue that size and scale are increasingly important in auto insurance and likely will be going forward you’re shrinking this business obviously due to profitability issues, do you get concerned that by shrinking the business you’re losing out on the scale that you might need in the future to keep very effectively?
Chris Swift: Jay, it’s Chris, I would say we are taking the corrective actions necessary to improve our profitability and that will obviously require some top-line shrinkage. I think we focus primarily on the older age market, we think we have a niche that we’ve understood for a number of years, our relationship with ARP is deep and very strategic for us and trusted. So, I don’t think scale in it by itself in that market is required if we were ever to think in terms of more of a mass market strategy then I would say scale and how we would think about it differently but we are not thinking about that. So, I think we have the appropriate underwriting skills the appropriate insights into that call a customer segment and I think we have the appropriate claim skills embedded in the organization across the country to effectively manage it. We’re in a rough spot now no doubt, but we are not giving up and it continues to be a strategic niche for us going forward.
Jay Cohen: Great, that actually makes sense. Thanks Chris.
Operator: Our next question comes from the line of Elyse Greenspan from Wells Fargo. Your line is open.
Elyse Greenspan: Hi, good morning. Just a couple of questions on the personal auto side, we were putting together some of your comments it seems like when you came to your outlook you are assuming we are going to maintain the high BI [ph] severity trends so I’m assuming kind of to start ‘17 is basically the trends that you ended ‘16 with. Just kind of confirming that. And then as you think about the components to get to your margin goal are you assuming that there is some improvements both from the loss as well as earnings through some of the expense initiatives, additional expense initiatives next year? And then as we think a little bit further out you think is 2018 when you see obviously you pointed taking more rates that will return to profitably in the auto book as you think about going out a little bit further than ‘17?
Doug Elliot: Please let me try to tackle the pieces that all add up to obviously our overall performance. So on the pricing side we’ve given you pretty clear inside into the progress we are making and just a few moments ago I also gave you a little bit lens into 2017 and the fact that our written pricing will go up over the next couple of quarter. So as that earns its way into the book we are getting a positive contributor to our progress against targets. At the core of your question relative to loss trends we are expecting from a gross perspective our loss trends in ‘17 to be about where they are in ‘16. So as we think about our data our expectation for the accident year ‘16 is that our loss trend total frequency and severity put together is in that fixed range 5.5 to 6 and that's essentially where we are planning for our gross trend in ‘17. What’s different about ‘17 is now the number of initiatives that we’ve been working and putting into market over the past four to five quarters, we expect some traction and we’re beginning to see that traction. So, we’re expecting several points of improvement against that loss trend and the combination of earned rate working through and a bending of the loss trend curve drives our expectation of improvement in performance both in ‘17 and candidly accelerating into ‘18 as well.
Elyse Greenspan: Okay. And then there is -- when you think about that so do you think you also get some level of expense improvement in ‘17 when you come to your guidance or it’s more driven off of improvement on the loss ratio side of the auto book?
Doug Elliot: The core of our changes in the loss arena, I think our expenses we’ve manage our expenses according I don’t see a lot there in fact two and three and four quarters and I expect to be in a very different rate adequacy spot and we’ve got places around the country where we’re feeling much better today that we are pricing for the norms of the exposures in loss trend and I think you’ll see us begin to be more aggressive and thoughtful in our growth aspect.
Elyse Greenspan: Okay, thank you very much.
Operator: Our next question comes from the line of Mark Dwelle from RBC Capital Markets. Your line is open.
Mark Dwelle: Good morning. I wanted to ask a question related to the asbestos [ph] transaction. I mean is there anything left there at all or maybe sit differently when you do your A&E study next summer, is there anything that can produce the change to reserves that will impact result either positively or negatively?
Beth Bombara: So I’ll take it, it’s Beth. So couple of things one, just to be clear and this will be in our 10-K we intend to do our A&E studies in the fourth quarter going forward just given the transaction that we did. If we don’t anticipate it to be on a significant obviously. As it relates to our exposure that's left as it relates to A&E again this Treaty covers substantially all of the A&E exposure that we have remained once we complete the sale of our UK subsidiary. The one thing though that we did retain as part of the transaction is to the extent that there is any uncollectable reinsurance that comes from our A&E exposures we would still bear that risk. So, that has not been a significant driver of our A&E reserve increases over the last couple of years, but that is one aspect of it that we did retain.
Chris Swift: Mark, it’s Chris, the only thing I would add is as you know asbestos language and policy forms changed in 85 for an absolute exclusion. There is some post 85 reserves that we had that we also seeded. So I think in terms of pre and post 85 A&E reserves are part of this cover.
Mark Dwelle: Okay, that's helpful. Thank you. And then in your comments remain related to the group benefits you mentioned the $30 million charge related to Pen Treaty maybe I missed it in the early remarks did you specify when that would be taken or any timing on that?
Beth Bombara: So again that's going to be based on facts and circumstances, the charge we will incur once the assessment is made and liquidation again. We think that could be first quarter, but it’s really outside of our control and we can’t -- we won’t book the amount until there has been a declaration.
Mark Dwelle: Got it, thank you. That's all my questions.
Operator: We have no further questions in queue. I turn the call back over to the presenters.
Sabra Purtill: Thank you, Lisa, and thank you all for joining us today and for your interest in the Hartford. If you have additional questions, please don't hesitate to follow-up with Investor Relations by email or phone and we’ll get back to as quickly as possible. And as I mentioned we hope to see you all soon at one of the event we’ll be attending. Thank you and we wish you good weekend.
Operator: This concludes today’s conference call. You may now disconnect.